Operator: Dear ladies and gentlemen, welcome to the Uniper Analyst and Investor Conference Call First Half Results 2025. [Operator Instructions] At our customers' request, this conference call will be recorded. I now hand you over to the Executive Vice President, Investor Relations, Sebastian Veit, who will start the meeting today. Please go ahead.
Sebastian Veit: Thank you, operator, and good morning, everyone. I'm pleased to welcome you to our results call for the first half of fiscal year 2025. Next to me on today's call are Michael Lewis, our Chief Executive Officer; Our Chief Executive Officer; and Jutta Donges, our Chief Financial Officer. Michael will kick off by giving you an update on our key developments in the first 6 months of the year 2025, including a strategic update and Jutta will walk you through our financial performance for the first half year and the outlook for the current year. And as usual, we will wrap up with a Q&A session at the end. And now let me hand over to Michael Lewis, please.
Michael David Lewis: Thank you, Sebastian, and good morning, everyone, and a very warm welcome from my side. I'm very pleased to share with you our highlights for the first half of the 2025 financial year, and then Jutta will dive into the details of those results. I'm proud to say we've managed to deliver a very solid performance in the first 6 months of the year on the back of a weak macroeconomic environment and rising geopolitical tensions. Group adjusted EBITDA stood at EUR 379 million, and the group adjusted net income came out at EUR 135 million, both fully in line with our expectations. And as anticipated, these figures are below the exceptionally strong results of the prior year period, which still benefited from the exceptionally high spreads, which we locked in successfully in the past. Notably, the strong financial performance in the second quarter of 2025 with an adjusted EBITDA of EUR 518 million, more than offset the weaker first quarter, bringing Uniper back into positive territory. Both Flexible Generation and Green Generation contributed significantly even in the face of lower spreads and lower prices, particularly in the Nordics. And overall, we achieved a result for the first half of the year 2025 fully in line with our expectations and also our financial position remains strong and resilient. This is reflected in the recent positive rating actions taken by the credit rating agencies, S&P and Scope. Both agencies recognize our improved financial risk profile with upgrades of our stand-alone credit profile by 1 notch, and Jutta will give more details in her section. Reflecting both rating updates, we remain committed to continuing our prudent financial policy and we will move forward with our transformation towards a more resilient Uniper. Furthermore, we're making strides in fulfilling our divestment requirements stemming from the EU state aid obligations agreed between the German government and the EU Commission. From 1 month ago, we announced the divestment of our 18.26% equity stake in [indiscernible] and on Monday, August 4th,, we published a press release that [indiscernible] Group will acquire our District Heating business, Uniper [indiscernible] , GmbHa. The process of divesting our coal-fired plant at Datteln 4 is also ongoing. Thus, the vast majority of our required divestments have been achieved or sales processes are ongoing. And while we're making good progress in the implementation of our strategy, we've taken stop in this year's strategy process of external developments, and we've adapted our strategy where necessary. Specifically, not all markets are developing as quickly as previously expected, some key regulatory decisions are delayed and we also witnessed shifts in the operating environment. For instance, in the area of hydrogen. And in this environment, we also increased our focus on cost management. Accordingly, we are adapting our personnel planning where necessary to ensure we remain flexible and agile, and that means we aim to reduce our previous personnel plans by a total of 400 positions, taking full effect in 2026. In addition, we remain focused on enhancing the efficiency of our operational processes and optimizing them through advanced IT solutions. We're expanding the use of artificial intelligence, which is already accessible to all our employees in their day-to-day work. This is based on our conviction that artificial intelligence will be a key component to shape the energy world of the future. And with the recently struck strategic partnership with Microsoft, we've opened a new chapter for our course to become a leader in applying artificial intelligence in the energy industry. And an AI lab is under development at our Düsseldorf site focusing on innovation in this area, whilst the Microsoft Copilot assistant has also been deployed group-wide, utilizing both internal and external data and adoption is ongoing amongst all employees. Furthermore, Uniper applies AI, especially in areas such as power plant control and energy trading optimization through decision support system and a key focus is the further development of the company-wide AI and data strategy. Now let me shed more light on our recent strategic moves in detail. Two years after launching our strategy, we remain committed to invest around EUR 8 billion into Uniper's transformation until the early 2030s. We've already made financial decisions totaling approximately EUR 900 million. And in our recent strategy review, we further specified our strategic plans for the next year. And by 2030, we aim to invest roughly EUR 5 billion in our transformation. All our investment decisions are made according to strict investment criteria, and we only invest when the conditions are right and contribute to our strategic transformation. Our objective is clear. Sustainable value creation with stable returns whilst transforming our portfolio towards net zero. And this means we will prioritize investments that deliver stable, regulated or contracted cash flows to increase earnings predictability and reduce our merchant exposure going forward. And this means, first, as shown in the pie chart, most of the growth CapEx over the next 5 years will be allocated to our Flexible Generation business, especially in the construction of new Flexible power plants and here lies a key focus of our strategy. We have the sites for new gas-fired power plants. Project teams are set up and preparations are ongoing for the future auction process. And the German government has flagged that it will initiate a swift and pragmatic tender process for new power plants. According to the German government, first tenders could be issued by later in 2025 if the legislative proposals are tabled in full. And similarly, we anticipate decisions about to support the new build gas-fired power plants in the U.K. in 2026. Second, we continue our path to becoming a Greener Energy company and expand our share in operating renewable energies, thanks to our renewable project pipeline. Investments in renewable energies remain a central pillar of our transformation, focusing on sustainably profitable projects. And finally, we've defined our framework for rebuilding our gas and LNG portfolio as we are committed to remain a key player in the gas midstream business, the partner for security of supply for our customers in Europe. Now let us turn to our 2030 target portfolio for the Power Generation business, the next slide. The majority of our earnings are generated by our Power Generation business, and that's split between 2 segments, Flexible Generation and Green Generation. Most of our transformation investments in the coming years will be allocated to generation assets, as explained in the previous slide and our corporate strategy to accelerate the energy transition is founded on the belief that we need both dispatchable power and renewables to provide security supply and ultimately achieve a carbon-neutral energy system. And based on our current portfolio and our strengths, we are convinced that we are ideally positioned to be a key part of this transformation. We have strategically important power assets in our portfolio that make a significant contribution to security of supply in Europe today. And we already generate nearly 50% of our electricity from low-carbon technologies. Since we announced our strategy in 2023, there have been developments in the energy market and changes in the regulatory framework to which we've responded proactively. Accordingly, we've adjusted our 2030 target generation portfolio. And based on our current asset base and our investments, we continue to target a total generation capacity. The 15 to 20 gigawatts by 2030, with 50% of those assets being defined as green. These include -- these 50% include our hydro, nuclear, wind and solar assets reflecting our Green Generation segment, plus all capacities in the Flexible Generation business that have a net zero potential. For example, CCS capabilities or hydrogen-ready new gas power plants. And I want to emphasize once again at this point, we're steering our investments towards contracted or regulated cash flows to lock in predictable returns and reduce our exposure to market price volatility and we've already reached several key milestones towards our goal. First, we're preparing for the upcoming auctions in Germany, then we're working at full speed on the low carbon power project, Connor KAY in the U.K. And we're also continuing to convert our fossil fuel power plants in the Nordics to Bioenergy. We've also started with Happurg hydro pump storage project in the Bavaria and the first solar projects are also under construction. The coal phaseout is being executed as planned, and the last required divestments are also currently being realized. Accordingly, we're confident that we will achieve our targets and Uniper remains an integrated power and gas company. And this brings me to our next slide about the key elements of our gas strategy. The European gas market substantially changed in recent years with the phaseout of Russian Gas and the decline in indigenous European supply, Europe is more dependent on LNG imports to secure our energy supply. Affordability and security of supply are the center of today's political debate and Europe is defining its strategic course to safeguard its own security in the future. To procuring and providing natural gas reliably to our customers is key to ensuring the energy transition is successful and with increasing LNG import volumes coming to Europe and more geopolitical uncertainties, the gas market has become more volatile. And although LNG capacities are growing, global competition of gas, especially with Asia, will remain. And these developments have a significant impact on Uniper's business model. Following the halt of Russian Gas supplies in 2022, we terminated our contracts with Gazprom export last year after a positive ruling in arbitration, which significantly reduced the risks in our Gas business. The termination of the contracts with Gazprom export requires us to reshape our gas midstream business. And overall, our ambition is to consolidate our position as one of the leading gas suppliers in Germany and in neighboring regions and Uniper is already a partner to 1,000 industrial customers and municipality and the safe, predictable and price competitive gas supply is core to our promise to be a reliable partner for our customers and we want to keep our strong downstream market position and supply 180 to 200 terawatt hours per year to customers in the DACH region, our core market for sales. And on top, we're expanding and building up an Asian LNG sales portfolio that provides us with opportunities to manage price and volume risks in the long run. And accordingly, we've redefined our gas sourcing strategy for 2030, and we're committed to remain a key gas midstream player in Europe. We aim to secure a portfolio of 250 to 300 terawatt hours of gas and make the bulk of it directly available to our customers in Europe and Asia. Importantly, our principle remains unchanged, that supply follows sales, and we primarily secure gas volumes that meet our customers' demand. And a well-diversified gas portfolio, both on the supply and demand side is essential for effective risk management while retaining sufficient optionality to achieve sustainable value creation, and we will build a diverse range of counterparties and geographies that increase our resilience against individual risks and adding Asian downstream volumes as an outlook will provide a long-term hedge against price and volume risk and we'll carefully assess every deal we make to remain within our risk limits on an individual and on a portfolio level. Thus, we'll rebuild our Gas portfolio step by step, and we expect to achieve a midterm and normalized sustainable earnings contribution from our Gas Midstream business and our LNG business in the range of roughly EUR 250 million to EUR 300 million. And in recent months, we've already made significant progress in signing new long-term contracts. For example, just last week, we signed a long-term gas supply agreement with Tourmaline from Canada for a physical delivery of around 6.6 billion cubic meters in total. In April, we announced that Uniper and the supplier Woodside had signed an LNG purchase and sale agreement for the supply of 1 million tonnes per annum from Louisiana LNG, LLC and up to 1 million tonnes per annum from its global portfolio. And in September last year, we extended our long-term gas supply partnership in Northwest Europe with ConocoPhillips over the supply of up to 10 billion cubic meters of natural gas over the next 10 years. And in May, Uniper also signed a contract with Octopus Energy on power and natural gas supply as Octopus is currently expanding its presence in the European markets of Germany, Italy and Spain. One last note for Greener Commodities, even though Gas will certainly continue to play an important role for some time to come. we know that we must and will transform our green commodities business in the long term. So we remain committed to our goal of having 5% to 10% renewable and low-carbon fuels in our portfolio and our first electrolyzer projects operational by 2030. So in summary, in the coming months we have clear priorities. We continue to focus on the execution of strategy -- of our strategy and we're preparing a number of investment decisions in our Renewables and Flexible Generation business until the end of the year. Our total CapEx spending is expected to reach around EUR 1 billion in 2025, and we continue to rebuild our Gas and LNG portfolio, as just explained in detail. Significant progress has been made and we expect to conclude further supply contracts in due course. We concentrate on our internal process to increase our efficiency and decrease our cost base while effectively managing our transformation. And as an immediate measure, this encompasses our aim to reduce our workforce compared to previous plans by a total of 400 FTEs, and this is one of the key elements in order to remain an agile organization and to deliver our strategy. And with that, I'll hand over to Jutta, who will guide you through our numbers for the first half, and we'll give you more details on our digital strategy. Jutta.
Jutta Anneliese Donges: Thank you, Mike. A warm welcome to this morning session also from my side. To begin the first half of the 2025 financial year results are fully aligned with our set financial targets for the full year. It is not only about numbers, the organization is being adjusted to enhance responsiveness and flexibility and thus, resilience. Regarding market shift within the energy sector transition and to ensure projects are delivered on schedule and within budget. Uniper is working towards establishing itself as a key player in the energy sector by integrating AI across business processes and strategic tasks to increase efficiency and foster operational excellence. We have made AI-based applications available to all our employees who integrate the help of AI in the everyday work routines. Our partnership agreement with Microsoft is a further commitment to develop Uniper into a leading AI adopting utility. So a leading AI adopting utility. A stable financial foundation remains crucial for the implementation of Uniper's strategy. The 2 credit rating agencies, S&P and Scope recently raised Uniper's stand-alone credit profile by 1 notch each. Release reports have highlighted Uniper's action to strengthen its financial business profile and reduce earnings volatility while maintaining a moderate level of debt. S&P affirmed, once again BBB- rating with a stable outlook. It increased Uniper's stand-alone credit profile by 1 notch while it lowered the government-related uplift to 1 notch. Scope upgraded its rating from BBB- to BBB, maintaining the previous governmental uplift at 1 notch, but lifting Uniper's stand-alone credit profile by 1 notch from BB+ to BBB-. Government support in the rating continues also with reduced state ownership as long as it is considered strategic offering some reinsurance. We have also enhanced our risk management. We have embedded a more holistic approach into our business processes and are now significantly better equipped to identify potential risk associated with new long-term transactions for the portfolio. We are taking steps to respond more quickly to operating conditions. Our efforts will be directed towards a smaller number of growth projects, allocating resources to support these initiatives. And as previously noted by Mike, this approach will result in a huge personal requirements in the future. Turning now to the half year figures on Slide 10. Headline results, including confirmation of the existing outlook for 2025 were previously disclosed. So far, the group's performance met or marginally has exceeded our expectations. Adjusted EBITDA for the first half of 2025 was EUR 379 million, with adjusted net income at EUR 135 million. After the modest beginning of the 2025 financial year, the second quarter came up with a very solid earnings contribution. Half year results already reflect the catch-up effect in the earnings contribution from the gas midstream business, which began to materialize in the second quarter. And overall, we were able to achieve this result against the backdrop of the energy demand in Europe that has not yet recovered. The reduced reported electricity generation volumes and energy sales are mainly driven by portfolio changes, decommissioning of plants and outages. Margins from forward hedging transactions have normalized in this market environment. Portfolio optimization led to positive outcomes amid higher short-term power market volatility and increased TSO service demand. Earnings contributions from the German hydro generation business and the LNG segment within Gas Midstream also improved. Further figures are detailed on subsequent slides. For the first half of 2025, Greener Commodities recorded an operating loss of EUR 296 million, an improvement over the approximately EUR 500 million negative adjusted EBITDA reported by March. The reduction in earnings is primarily linked to the cessation of favorable margins from prior years. Key influences on earnings include challenges resulting from previous portfolio optimization measures, impact from the withdrawal of high-priced inventory gas during the first quarter and the end of gains associated with alternative Russian gas supply hedging. The Flexible Generation business reported an adjusted EBITDA of EUR 333 million, which was lower than the previous year's figures as expected. This decrease was due to the conclusion of elevated spreads observed until mid-2024 as well as the market exit of coal- fired power plants in the U.K. and in Germany. Increased price volatility and higher system security requirements provided some offsetting benefits. Green generation made the largest positive impact on adjusted EBITDA, contributing EUR 420 million in the first half of 2025. In the Nordic market, hedge prices were lower compared to last year. In addition, Oskarshamn 3 nuclear plant is facing extended downtime. Spot prices in Northern Sweden faced downward pressure due to high water availability. Additional grid balancing services partly compensated for that. The German hydro business saw slightly higher earnings despite lower volumes, aided by tripled hedge prices for merchant volumes. Optimization efforts continued and hedge prices remained steady for future years. Hedge prices for our Nordic and German fleet stayed steady from last quarter at about EUR 90 per megawatt hour in Germany and EUR 38 per megawatt hour in the Nordics for 2025 to 2027. The next slide shows adjusted EBITDA reconciled to adjusted net income. Adjusted EBITDA and adjusted net income turned into clear positive territory in the first half of the year after Uniper started with a loss in the first quarter. Depreciation and amortization declined by about 10% following asset disposals and plant shutdowns. Economic interest remained robust, supported by the group's net cash position of EUR 3.3 billion as of mid-2025. The operating tax rate was unchanged at 26.5%. Turning to the next slide. The focus is now on operating cash flow. Operating cash flow was below breakeven, but showed a EUR 700 million improvement in the second quarter versus the first quarter of 2025. This slide demonstrates that operating cash flow was significantly moved by payment obligations to the Federal Republic of Germany settled in March 2025. Excluding this one-off payment to the government, Uniper's operating cash flow would have been EUR 2.2 billion. The underlying operating cash flow benefited from significantly reduced working capital requirements, primarily attributable to strong seasonal gas withdrawals in the first quarter and gradual filling of storage facilities in the second quarter. As of June 2025, economic net cash stood at nearly EUR 3.3 billion. Cash investments reached almost EUR 400 million, up 75% year-on-year, reflecting progress in initiated growth projects and higher maintenance spend. To recap, the total investment budget for 2025 is EUR 1 billion. Capital expenditure on maintenance focused on higher expenditure for Flexible Generation in the U.K. and in Germany. Primary investments to accelerate our transition efforts were directed towards renewables, such as the development of our wind farm in Scotland. Divestment proceeds of EUR 334 million in total resulted mostly from the sale of our Hungarian CCGT power plant. Other items included changes in asset retirement obligations and consolidation effects. The successful extension of our EUR 3 billion revolving credit facility by 1 year to 2028 provides Uniper with additional liquidity if and when needed, while this credit line primarily serves as a safety net. In summary, the start of the year aligned with projections, reflecting the lingering effect of the 2022 crisis and normalization in power markets and a less favorable commodity prices. The outlook for the full year 2025 is confirmed, both for adjusted EBITDA and adjusted net income. As a result of realized opportunities stemming from agreements with partners, the projected ranges for adjusted EBITDA and adjusted net income for 2025 have been refined by EUR 100 million each. Adjusted EBITDA now stands at EUR 1 billion to EUR 1.3 billion and the adjusted net income we expect to land between EUR 350 million and EUR 550 million. This concludes our presentation for today. I hand it over back to you, Sebastian, to kick off the Q&A session. Thank you.
Sebastian Veit: Thank you, Jutta and Michael. And we now start with the Q&A session. Operator, I'm handing it over to you, please.
Operator: [Operator Instructions] Our first question comes from the line of Peter Crampton from Barclays.
Peter Crampton: It's Peter Crampton here from Barclays. Now you're talking a lot about kind of the CapEx in the kind of 2030. But obviously, this this is going to rely a lot on kind of the plans of the German government relating to the power plant strategy. We've had the economy minister kind of talk a lot about this kind of recently. Can you maybe flag what kind of your view is, whether by year-end, we could have kind of a system? And what you're kind of looking for to make these kind of big investments kind of happen?
Michael David Lewis: Thanks, Peter. Absolutely the right question at the moment. We certainly welcome the comments made by the Energy Economy Minister, Katharina Riser. We think it's absolutely right that the German government pursues with urgency the so-called CapEx strategy. We desperately need new power plant capacity in Germany as we close our coal capacity. We see a gap of around 4 gigawatts at moment between peak demand and reliable capacity, flexible capacity. So we need to fill that gap, and that gap will grow to 2030. The minister has said she wants to have the first auctions by the end of the year. It is very tight, but it is possible, but that means they will have to present the legislation to the parliament as soon as possible and to secure the agreement of the EU. Nonetheless we stand ready. We have the right sites. We have teams in place who have been developing these projects for some time. So we believe we're very well positioned to take a significant share of that capacity. And what we need is a clear and transparent set of rules for those auctions and a clear indication of exactly how we can earn a good return on the investments we plan to make there. And we know there are a number of capacity markets Already in Europe, in the U.K., for instance, where we have a number of projects already in that market. So we know what a good market framework looks like, and we have been in constant discussions with the government about how we make that happen as quickly as possible.
Operator: Our next question comes from the line of Anna Webb from UBS.
Anna Webb: A couple from me. Firstly, just a follow-on on the new CCGTs. I think you -- from the slides, it looks like you have a couple of gigawatts potentially of CCGTs running on either CCS or hydrogen, so green kind of gas -- just wondering how feasible you see running on hydrogen or CCS by 2030? Obviously, we're already in 2025. And I think even the German government when they were talking about hydrogen conversion, looking not really before the late 2030s. So just your expectations there and how you see the technology developing? And then secondly, just a question on the renewable strategy. Just how that has developed versus when you presented the kind of new strategy and whether you see more challenging conditions there versus your expectations?
Michael David Lewis: Thanks, Anna. Yes, on the CCGT question, to be very clear, we don't see those projects being either CCS or hydrogen by 2030. We expect the new plant to start with to be gas-fired, but we would expect the potential to convert them at some point in the future, in line with the overall decarbonization strategy of Europe and indeed of the Federal Republic of Germany. So that means we will keep the option to convert those plants to hydrogen or indeed CCS depending on which direction the German government goes. And bear in mind, we have also entered into to further discussions, as announced earlier this week on Monday with the U.K. government on the Connor KAY project that is a CCS project in the high net cluster. So we aim to build our experience there and if we ultimately get the green light for that project, we would expect that project come into operation around 2030, which would be our first CCS project. So we're developing along all potential decarbonization technologies and the capital cost of making a project hydrogen-ready is not particularly large. The main cost comes from the hydrogen itself. So we will keep that option. But most importantly, we need to get the capacity built by 2030, that's absolutely necessary for Germany, and it will replace coal-fired capacity, so it will be contributing to decarbonization, even though they are initially gas-fired plants. When it comes to Renewables, we have in essence, reduced our ambition level to 2 gigawatts by 2030. And you're absolutely right, that is in line with the fact that we see a more challenging market. So we're being more focused on our pipeline delivery and a real focus on those projects which can deliver the best returns.
Operator: Our next question comes from the line of Louis Boujard is Bar from ODDO BHF.
Louis Boujard: Regarding the current regulatory time line, do you think that it is still possible to get the project commissioned by 2030? And do you think that the 20 gigawatt target remains on track considering the timing that's needed? We understand the acceleration that is requested, but it's not sure that we will be on track regarding the commissioning of all these needed assets into the German market. What would be your view on this one? Also, just if you could provide a little bit more details regarding the potential preference that you may have between hydrogen-ready and CCS project in terms of cost, in terms of investments, what would be the main difference according to you? Does the CCS project is something that could be manageable according to you into the relatively short term? And finally, if you could provide a little bit more details regarding the normalization performance to be expected in next year in the Gas portfolio? And if you could elaborate also how the new contract, LNG contracts like Woodside, for instance, can derisk this segment going forward in terms of balancing the portfolio between Germany, as you mentioned in your presentation.
Michael David Lewis: Thank you. I will take the first 2 questions, and then Jutta can pick up on the normalization question. Yes. As I said in relation to the CapEx strategy, the sooner we get the legislation through, the sooner we get the incentive system or the auction system in place, the sooner we can start building. We have all of our organization aligned. We have the sites, we have the teams, and we have a strategic partnership with Siemens. Critical is that we get the right auction in place -- right auction mechanism in place. Whether it's 2030 or slightly later, will depend on exactly how quickly that can be done. I would only say that the sooner we start, the sooner we get the auctions in place, the sooner we can start building and the sooner we can get those plants into operation. On the question of hydrogen versus CCS, I think it's fair to say at the moment, the jury is still out as to what ultimately will be the best way to decarbonize these assets. I think the key difference between the 2 options is that CCS requires significant CapEx. Obviously, you're still using gas, but you need to build the plant to decarbonize and store. Hydrogen, the key issue is with the cost of the hydrogen itself in the commodity. So they have slightly different economics depending on the load hours and so on. And so an overall strategy may comprise elements of both. But I think that's to be seen. What's most important is that we build those plants as quickly as possible. And we, as Uniper, will keep options open. We'll continue to invest in CCS. We'll continue to invest in hydrogen, but at a lower rate than we did before. And we'll make sure that we are robust to whatever technological developments come along to ultimately decarbonize those plants. And I'll hand over to Jutta to pick up the normalization question.
Jutta Anneliese Donges: Yes. Thank you. Louis, thanks for the question on the Gas Midstream normalization. As you have heard from Mike earlier before, we are setting out the number for the midterm. That is what we expect in terms of Gas Midstream margin between EUR 250 million and EUR 300 million. That is obviously reflecting the changes in our portfolio stemming from the crisis and the need to rebuild our Gas and LNG portfolio, as Mike has elaborated. And the new rebuild of this portfolio, if you take all of this together, that brings us to the renewed outlook, EUR 250 million to EUR 300 million adjusted EBITDA for the Gas Midstream business, which is different from what we had in the past. In terms of the new contracts, you referred to Woodside, for example, that is reflected, obviously, that only comes in after the midterm period. And as this -- the Woodside contracts have different elements in terms of pricing conditions. This is not at all with the TTF and Henry Hub spread, but also taking into account the European prices that we are expecting to see going forward. So it's a mixture of several conditions and price indices. And all of this is reflected in this new guidance that we have provided today. I think what is important, if you compare the number -- the new number with previous guidance, it's not only that you need to take into account that there have been significant harms to our Gas portfolio and Gas activities because of the crisis, but also that we are reporting now in a new segmentation. So it's not one-to-one comparable, but we need to have a deeper look. And I think if that is important, we can also provide some more guidance from our IR team to go into those technical details.
Louis Boujard: Does this new contract format is something that you would expect to continue going forward in order to smooth, I would say, the earnings contribution of this division? Is it something that we should expect?
Michael David Lewis: Yes.
Operator: Our next question comes from the line of Louis Boujard from ODDO BHF.
Louis Boujard: Maybe just a quick follow-up. Actually, in most of your peers, we see some strong commitment notably regarding the Batteries in order to provide some flexibility to the system and to the grid. You are more tuned toward, I would say, long-term flexible and short-term flexibility assets. Do you have anything in terms of planning in order to be maybe a bit more tuned towards the short-term efficiency and short-term flexible assets going forward? Or is it something that you disregard for the time being and you wanted me to focus on the long-term flexible assets in your CapEx plan?
Michael David Lewis: Thanks, Louis. I mean, no, we're not totally focused on just long-term flexibility. We have done battery projects in the past, notably in the Nordic region. But what we've decided to do for the time being is to only do battery projects where they complement a renewable project because we believe we can create more value there. The battery market is one with low barriers to entry. So therefore, it's important that we add additional value creation opportunities when we invest in batteries. And for that, we believe it makes sense to do it with Renewables. But we're also investing in pump storage as well. The pump storage project in Bavaria, the largest single investment in our portfolio right now, EUR 250 million. That's currently under construction. It's actually a renovation of an existing plant, which was mothballed in 2010. We're now bringing it back into operation because we see more value in storage as the amount of Renewables is increasing on the system.
Operator: As there are no further questions, I will turn the conference back to you.
Sebastian Veit: Thank you. Dear analysts and investors, thanks for your listening in today's call and all your questions. We're looking very much forward to our next call on Uniper's results for the first 9 months in November 2025. Have a good day and talk to you hopefully soon. Thank you.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded.